Operator: Good afternoon. My name is Nora, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Third Quarter 2020 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Daniel Briggs. Please go ahead.
Daniel Briggs: Thank you, operator. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Also joining us on the call are Dr. Wilfred Wong, President of Sands China and Grant Chum, Chief Operating Officer of Sands China. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the safe harbor provision of federal securities laws. The Company's actual results could differ materially from the anticipated results in these forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides on our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you please respect our request to limit yourself to one question and one follow-up question, so we might allow everyone with interest the opportunity to participate. Please note that this presentation is being recorded. With that, let me please turn the call over to Mr. Adelson.
Sheldon Adelson: Good afternoon, everyone, and thank you for joining us today. I hope that all of you and your families are staying safe and healthy. While the business volumes continue to be impacted by the pandemic, we are pleased to see improving operating results, especially in Asia. In Singapore, Marina Bay Sands had a profitable quarter as operations progressively resumed across the resort during the summer. In Macao, operating losses reduced sequentially over the second quarter. The third quarter results, however, are not representative of our current business trajectory. As the resumption of visa issuance across all provinces in China only commenced toward the end of September, the initial stages of recovery since then have been very encouraging. During the October Golden Week, we saw meaningful recovery across the different segments of our Macao operations. Importantly, business volumes in the Premium Mass segment enjoyed the most significant resurges. This vital segment is central to our ongoing investment program in Macao and has been leading our revenue generation at this stage of the recovery. We expect the base mass market to recover as visitation to the market increases. Consistent with the recovery in premium mass and overall domestic China consumption trends, we also experienced strong recovery in our retail malls with the Luxury Retail segment enjoying the strongest performance. We continue to make excellent progress in our US$2.2 billion capital investment for the Londoner Macao and Four Seasons budgets. The Grand Suites at Four Seasons, the largest all-suite Four Seasons hotel in the world, is now complete, licensed and hosting customers in the Premium Mass segment. These gorgeous full-suites have been receiving great customer feedback since the Golden Week. We will be introducing a variety of additional world-class integrated resort products and amenities as we complete the Londoner in Macao and other capital projects. The Londoner will include two new all-suite hotels, more than a dozen new restaurants, additional retail and new MICE and entertainment facilities. Our unwavering commitment to significant ongoing investments in Macao enables us to play our part in supporting local employment and the local economy. It also ensures Macao will be even better positioned to recapture and, over time, increase its share of leisure and business tourism from China and the rest of Asia. I remain steadfast in my belief that Macao has the potential to become one of the greatest business and leisure tourism destinations in the world and the MICE capital of Asia. As I've said on many occasions, we would welcome the opportunity to invest billions of additional investment dollars and extend our contributions to Macao's diversification and evolution into Asia's leading leisure and business tourism destination. Now turning to Marina Bay Sands in Singapore. We encouraged that MBS was profitable in the third quarter despite the absence of overseas tourists. We hope to see the initiation of reciprocal travel arrangements in the coming months as health concerns permit. We remain committed to pursuing long-term investment in Singapore and our expansion of Marina Bay Sands, although there would be likely delays in the timing of the expansion given the challenges created by the pandemic. In addition to the expansion, we will continue to reinvest in Marina Bay Sands to enhance the customer experience and the tourism appeal of the resort. In Las Vegas, we are pleased to report that the recovery is well under way. Weekend occupancies have been as high as 70%. Together with our state and local government leadership and the entire Las Vegas community, our team members are working diligently to prepare to safely host convention and group meeting customers from throughout the world, throughout the country and around the world. We look forward to once again welcoming these customers back to Las Vegas, which will always be the most important convention and group meeting market in the United States. As we have said in the past, increased airlift and the resumption of the convention and group meeting business are both critical components to achieving a full recovery in Las Vegas. Now moving to our balance sheet. Maintaining a strong balance sheet makes great business sense while we weather the storm caused by this pandemic. Our balance sheet strength enables us to continue to execute our capital investment programs in both Macao and Singapore, which we believe will position the company to deliver industry-leading growth and profitability in the years ahead. We're as confident as ever in the strength of our business model and the eventual recovery in travel and tourism spending in our markets. So thanks again for joining us on the call today. Now we'll take questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Greff with JPMorgan. Your line is open.
Joseph Greff: Good morning, everybody. Sheldon, your comments about recent trends in Macao on the premium mass and the luxury retail side are certainly encouraging. I was hoping maybe you can give us a little bit more detail on what you've seen since Golden Week. And would you say at this point you're – if you're run rating at these levels and these levels continue that you would be at EBITDA breakeven levels in Macao?
Sheldon Adelson: That's what we're shooting for.
Joseph Greff: But not currently there as of yet.
Sheldon Adelson: The trajectory is heading in the right direction.
Robert Goldstein: Sheldon, I'd like to make some comments. Joe, it's Rob. How are you doing?
Joseph Greff: Hey Rob.
Robert Goldstein: Let's begin with that. To answer your question, let's just begin with the obvious. Our confidence in Macao being the world's greatest gaming market and its principal source of customers coming from China, we know, adapting in China from a growing economy perspective, a favorable position vis-à-vis the COVID. The renminbi is as strong as it's been in many years. And of course, the Chinese consumer is not traveling to foreign countries. We think this fact pattern from a macro perspective is very favorable for Macao. And as you know, Macao has been a $40 billion to $50 billion revenue market for the past number of years and year in, year out performs. The COVID IVS obstacles are real. And we believe as they start to lessen, we'll go back to marching toward our goal of $4 billion annually. Our new Four Seasons is now open. It's quite a product. The Londoner will complete from the interior perspective by December. So we've never been stronger from an asset perspective. But there's no question, while demand from Macao is there, and it's there, we have big confidence. The visa and the testing issues have proven to be challenging and does limit the access. Now we are hoping the government will loosen restrictions and access to Macao will continue to improve. The truth is, the way Macao and China has handled the virus is very – is in a very capable manner. And Macao will be the beneficiary of reduced travel to other markets with Chinese consumers not traveling outside of China. So it's a domestic travel bubble we hope to be included in, surely. I'd like Grant to opine and talk about. I asked Grant to join the call and Wilfred Wong to give you color from the ground since we haven't been there in many, many months. I think they can give you – Grant maybe could begin by talking about your questions about October about profitability trends, et cetera. So Grant, are you awake there, Grant, in Macao?
Grant Chum: We're well awake, yes. Thank you, Rob. Yes. Good morning, good afternoon, everyone. Yes. I mean, October was the first time since January that we've seen significant real business volumes in patronage. And as Mr. A mentioned in his opening remarks, premium mass has been the strongest segment by far, and that is really across all of the different tiers of premium mass. The patrons returning first to Macao are the high-quality, high-frequency customers. I think that reflects the pent-up demand that these guests have, and these are the ones who are used to staying overnight in Macao. They are used to having multiple-night stays in Macao, enjoying the destination, and these are the first customers to come back, and that's natural. In terms of the question about where we are on the volumes and profitability, I mean, principally based on the premium mass recovery, October month to date, our Non-Rolling drop per day is just over $20 million. That's about 30% of last year's level. And at this level of Non-Rolling drop, we are able to achieve and we are achieving a slight positive EBITDA month to date based on current cost structure and the business mix. I think what's particularly encouraging, to Joe's question about what's happening, after Golden Week, we had the expected lull in the second week of October, but then we saw a very notable rebound in the third week. In fact, in the third week, we are actually still averaging around or just under $20 million drop per day as well. So as Mr. A said, we are well onto that trajectory, and we hope we can maintain that. I think in tandem with the premium mass recovery, we've seen a resurgence in the retail mall sales, and that's especially true in the Four Seasons, in the Luxury Retail segment. The retail recovery actually began in September and has continued into October. In fact, some of our – a number of our top first-line brands within the Four Seasons mall is actually up year-on-year in terms of the retail tenant sales in the first two weeks of October. And obviously, in conjunction with that, at the Four Seasons, we've just opened the Grand Suites for Four Seasons. And these suites have received exceptional [indiscernible]. I think this is exactly the right product for this Premium Mass segment structurally. But also at this point in time, I think these Chinese consumers are looking for higher quality, looking for the premium experiences and also, obviously, in this time, an increased amount of personal space. So we're very happy of how that product has come through and, in fact, is really one of our best-performing hotels, if not the best-performing hotels, in October. The question on the other segments, I think base mass certainly is relatively low in terms of traffic right now. As you know, the overall visitation in Macao remains relatively low. And as Rob referenced, there are, obviously, impediments. Some are real, some are perceived, some more to do with awareness in terms of the policies. But obviously, there are some real logistical challenges relating to the COVID testing, as well as the visa application. But as the awareness builds, as the word of mouth spreads, as some of these visa application processes are shortened and become more abbreviated, some of these logistical challenges will be overcome or mitigated and we're confident that the base mass will follow as visitation recovers. As for the VIP segment, obviously, that's been slower in terms of the recovery. That's expected. A lot of those issues are well documented. But we are also seeing a reasonable amount of play coming through in that segment in October as well. So I hope that gives you some color on the October month.
Joseph Greff: That's great, Grant. I hope you're on the next bunch of earnings conference calls. Just a quick follow-up. How much of your volume do you think are coming from outside of Guangdong since Golden Week? Or is it primarily this month all Guangdong?
Grant Chum: Actually, the vast majority of the volumes and the room bookings are from non-Guangdong, but that ratio is actually consistent with what we saw in the past. So this is not out of the ordinary. Majority of the volume comes from outside of Guangdong, and that was the case in October already. But your question is still well made in the sense that, in the first week of October, I mean, a lot of these customers from outside of Guangdong either didn't have time to get the visa or they didn't want to leave their planning to such a last-minute time frame. So they already made alternative plans. So the nationwide visa resumption only occurred or started in September 23. So that really was not sufficient time or window for a lot of the customers to feel that they could confidently get the visa before Golden Week before the office is shutdown again for the holidays. So in that sense, we should hopefully be seeing the non-Guangdong visitation improve as the awareness and the logistics challenges are met and some of these people have time to get the visa to come to Macao.
Joseph Greff: Great. Thank you very much everybody.
Sheldon Adelson: Thanks, Joe.
Operator: Your next question comes from Felicia Hendrix with Barclays. Your line is open.
Felicia Hendrix: Hi. Thank you so much. And Grant, if we could keep you on the hot seat here, I think we are all excited to hear from you. So just getting back to some of the items that you just mentioned. On the visitation side, are you seeing any changes per se in the rate of visa application approvals or even the methodology? I mean, have the kiosks been coming back? Or is it still an in-person kind of more manual process? And on the testing, is there any sense that this will be extended to 14 days? I know that there has been some talk about that.
Grant Chum: Sure. I think when the Guangdong visas resumed, I think most of the offices were operating on the physical application process and not using the kiosks. As the rest of the country has reopened for these applications, we see a variety – it's not uniform because different provinces have different procedures, and they always have had. So there are some significant provinces and cities where you can get a same-day application. But most of the others, I would say, range from – the manual process takes anywhere between three working days to seven working days, but there are a number of them that have a shorter application period. And then, I think going forward, hopefully, obviously, this gets smoothed out. And I think this is just part of the initial – I think quite rightly the authorities are cautious, and I think that's the right thing to do in the face of the pandemic, that we don't necessarily want a huge surge of people into Macao in a short space of time at the beginning.
Felicia Hendrix: And then, just on the testing, do you think they'll extend that to 14 days versus seven? I know that's been a bit of a gating factor?
Grant Chum: That has been discussed in Macao, and we are waiting for further development on that front.
Felicia Hendrix: Okay. And then, just as my follow-up, and this could be for anybody, but on the VIP side, I'm just wondering what you guys are seeing in terms of junket liquidity. I know it's not a big part of your business, but junket liquidity is important for the market as a whole. So I just wanted to know what your thoughts were there?
Sheldon Adelson: Grant, do you want to take that or?
Grant Chum: Sure. I think some of the challenges in that segment are well documented. The segment has been slower to recover in this initial stage of the recovery. But at the same time, as you quite rightly referenced, it's not a significant part of our business, only 4% of our contribution in 2019. And in the meantime, we have, obviously, very strong performance in the premium end of premium mass both across gaming and retail.
Felicia Hendrix: I was just wondering if you thought that maybe some of your premium mass might be benefiting from folks moving segments as it was before COVID, but maybe seeing that more accelerated now.
Grant Chum: I think it's too short a time period to ascertain that.
Felicia Hendrix: Okay. Sorry Rob.
Robert Goldstein: I think one is – maybe to point out to what Grant was saying, was I think the nice thing – it may not be important to our overall business but in terms of the synergies. But clearly, it is important to liquidity to marketplace. And I think what's nice to see is that the first segment out-of-box to recover has been premium mass. So there's speculation that it may be band-aided by liquidity issues. And what we're seeing in retail, I think Grant mentioned the strength of the retail premium; I was talking to our retail team this morning. It's hard to imagine that in this environment, our top six net new retailers – I won't name any names – and you imagine the French and Italian luxury brands are up year-on-year in total sales, which is kind of astounding. It shows the strength and liquidity of that premium mass segment, and it reflects both the gaming and the retail appetite. I think it's very exciting to realize that that segment is back, and that speaks to our Four Seasons and our Londoner. But also, when the day comes when they do lessen the restrictions and make it more accessible to base mass, you've got the two most important segments delivering. I think it's nice to see the current situation, premium mass, and perhaps the base mass is not too far down the road.
Felicia Hendrix: Great. Thank you so much.
Robert Goldstein: Thank you.
Operator: Your next question comes from the line of Stephen Grambling with Goldman Sachs. Your line is open.
Stephen Grambling: Good afternoon. Thanks for taking the question. It seems like there's been just more news and perhaps noise around overseas gambling legislation in China and some of the restrictions potentially there? What is your interpretation of some of these laws or legislation and the implications for both Macao and Marina Bay Sands and how that might change how you position or market LVS properties?
Robert Goldstein: I'll just take the first point as it relates to Marina Bay Sands and ask Dr. Wong to speak to Macao. But the concerns there don't concern us at least in Singapore. We do our job as best we can, and we carefully monitor as best we can all the restrictions and all the issues, money movement, etcetera to our best of our ability. We take that responsibly very seriously and applicable rules. Singapore continues to, obviously, be upside, like all of Asia, were negatively impacted by the inability of the Chinese customers to get to Singapore. However, we do see the opening – the initiatives taken by the Singapore government to open to Hong Kong. And hopefully, that will be a catalyst for other jurisdictions, other countries, other airlines to open the doors to more travel into Singapore. Dr. Wong, would you speak to the issue of cross-border casino from your perspective as it relates to Macao?
Wilfred Wong: Sure. We understand the National People's Congress is still debating the final form of that legislation. But we must remember that the main target is really gambling in foreign countries, including, particularly Internet and telephone betting. However, Macao has never been considered foreign in China. And all of concessionaires in Macao respect the law in China, and we never promote gaming in China, only our hospitality and MICE facilities and services. So we believe that Macao is – has a unique place under the one country, two systems in China and that we will continue to operate under the confine of the legislation.
Stephen Grambling: That's helpful. I'll jump back into the queue. Thanks so much.
Robert Goldstein: Thank you.
Operator: Your next question comes from the line of Carlo Santarelli of Deutsche Bank. Your line is open.
Carlo Santarelli: Hey, guys. Thank you. I just want to follow-up on I believe it was Felicia's question and talk a little bit about the VIP segment. And maybe, Grant, you're probably best positioned to answer this. But when you think about kind of the issues on the VIP side and, as you mentioned, kind of they've been well advertised, how much of it do you think it is a supply issue in terms of liquidity and supply of capital versus a demand issue? And I guess, part of that gets to some of the demand actually just showing up in your premium mass, which you kind of already addressed. So anything just on the supply and demand dynamics within the VIP segment?
Grant Chum: Rob, do you want me to take that?
Robert Goldstein: Grant, I want to finish a comment after you. If you're going to initiate, Grant, please.
Grant Chum: Sure. Yes. I don't particularly see it as a demand issue. I think there are some issues specifically relating to that segment. But I think one contextual point is you have to remember that the system is – consists of the working capital cycle in that segment. And what we've had in 2020 is a seven-month, eight-month complete disruption of that business and that ecosystem with all the working capital issues associated with that. So we've never had that level of – essentially, the business stopped everywhere. But obviously, for that segment, given the particular dynamics, it's particularly damaging. So I think you're seeing some of the aftereffect of that disruption. But obviously, as gaming activity resumes and demand resumes, you hope that some of these issues will evolve in a positive way.
Robert Goldstein: Yes, I've got to say this, and I'm saying the obvious, but I'm going to say it anyway. The aging customers, at least, our industry has the highest offense in the world. It's been that way for decades, and it will be that way for decades to come. I don't think the demand – the appetite of the consumer has diminished whatsoever. Obviously, the capital cycle's in jeopardy right now and will take time to adapt. But we've had this issue in the past years and back in 2014, and we know two things are intact. Demand remains intact, and that's a fact. And at some point, capital will become available again. I wouldn't count that segment out. It may be in a very, very tough spot right now. But again, demand will be there, and eventually, we'll figure out the supply on the capital side. We feel highly confident that's a fact.
Carlo Santarelli: Great. Thank you, guys. And if I could just ask one quick follow-up as it pertains to what you're kind of seeing, obviously, in a reduced demand environment across the board to an extent but, obviously, healthier in the premium mass segment. Are you guys seeing anything unique from competitors in the market just in terms of the way they're going about their business and trying to drive demand at their assets? Or is it pretty much business as usual across the board?
Robert Goldstein: Carlo, you're talking about Macao, right?
Carlo Santarelli: Yes. I'm sorry at Macao.
Grant Chum: Yes. Actually, it's business as usual. We don't see anything out of the ordinary. Yes, this is not really a business where people are going to go out and do silly things. I think it's pretty rational right now.
Robert Goldstein: I would add one thing, though, that I think we all agree on, and that is that this market has not been irrational in the past, but it has proven to be very, very susceptible to great products. And I do think our new Four Seasons product; our Londoner product will prove to be very, very advantageous in the years ahead. As we move back toward our quest for $4 billion annual EBITDA, those products are going to take front and center. And that's what drives this premium mass customer, not silly incentives and poor marketing. Great product wins the day over there, and we feel highly confident we have built an aesthetic product that will be very appealing to this customer.
Carlo Santarelli: Thank you both very much.
Robert Goldstein: Thank you.
Operator: Your next question comes from the line of Steve Wieczynski of Stifel. Your line is open.
Steven Wieczynski: Yes, good afternoon, guys. So Rob, can I ask you a Vegas question? And can you maybe help us think about forward bookings for group and convention traffic in Vegas next year and maybe how those bookings at this point are shaking out by quarter?
Robert Goldstein: Sure. We still see some bright spots in the Vegas market vis-à-vis convention and group business. There's demand, and there's some recent – it's there in the market because some of these large shows still want to come in Q1. We have a couple of major impediments that I don't know how we're going to correct them. One is, as you know, the governor has imposed group restrictions and size restrictions. So it's very difficult to overcome that. We're hoping to he'll revisit those restrictions and enable the market to talk to some of these large shows. The second issue, of course, is airlift. Airlift is still not near pre-COVID levels. So that's a challenge. But I think to the positive side, we're getting calls from the group market. We're getting inquiries from people from all different parts of group market saying we want to come back and we're looking at this month, that month, throughout – scattered throughout the year, I guess, there's three things. The governor will revisit his restrictions, and that's pivotal. The airlift – most of these people require airlift. It's not drive-in business. I think that will come back when the market demand is there. And the third thing, I think, to really fully populate the market with group demand again is a change in – a catalyst to change how the consumer views being in a place with 30,000, 40,000, 50,000 people. It's obvious in Vegas that the weekend leisure market is surging, and we could probably get to 95% right now if we let it happen. We cap ours in the 65%, 70% range to keep Las Vegas safe, etcetera. But the leisure demand for Las Vegas weekend is very strong, not as much midweek, which has always been reliant upon more group. Also gaming, as you know, has come back to probably, I don't know, 75%, 80% of pre-COVID. So there's some bright spots. But to your point, that's what's really pivotal – the delta agreed in Las Vegas. We've got to see group come back. And there's just some impediments despite the demand, which seems to be growing. We get more calls every day for the group market, and people are itching to come back and be here. So I think both very large conventions, as well as small tech groups. That appears to be across-the-board demand is reoccurring for next year for 2021. And it's probably soft in April, May, June, and then, goes up the balance of the year.
Steven Wieczynski: Okay, great. Thanks, Rob. And the second question, I'm not really sure how to ask this question. It's going to be a political question, so excuse me. But yes, I know. If you take your personal views out of the equation for a second, how should we think about the election coming up and maybe how each scenario might play out in terms of your China relationships moving forward? And I hope that makes sense.
Robert Goldstein: I'm really not going to answer that question, with all due respect. I think it's – first of all, I don't know if there's a good answer anyone can give you since we don't have insight to the Chinese perspective. But I'm going to pass on that, respectfully. I don't know if Sheldon wants to weigh in, but I think that's the question I'll pass on.
Steven Wieczynski: Okay. Thanks guys.
Sheldon Adelson: We don’t answer political questions.
Operator: Your next question comes from the line of Robin Farley with UBS. Your line is open.
Robin Farley: Great. Thanks. I have a question for Grant Chum kind of circling back to some of the discussion earlier, and Grant, it's so nice to hear your voice. Just your take on whether junket's ability to operate in Mainland China, their interactions with customers, would that be impacted potentially by the blacklist regulation in your view, not that players won't come to Macao but the ability for junkets to maybe be providing capital for players from the Mainland? And kind of looking at your economic crystal ball, how long do you think capital control in Mainland China may be kind of front and center? Thanks.
Grant Chum: Rob, shall I take that?
Robert Goldstein: Yes, please.
Grant Chum: Yes. Hi, Robin, yes, I think we should clarify that there's always been a prohibition on gambling on Mainland China and solicitation of gambling in Mainland China. And I think those rules and regulations are well understood by market participants. And I think that's the way it should remain. I think the currency issue, I mean, these are big, big issues. We're not in a position to opine on that. But obviously, the market has been operating without any issues for so many years, and we don't see any particular issues in that regard as the market starts to come back. But obviously, like everyone else, we'll watch with great interest the evolution of the system.
Robin Farley: Thank you. Maybe just as a follow-up and I don't know, Rob, if this would be for you because it's sort of broader. I think in prior calls this year, you talked about potential M&A activity or that that would be a little bit of a departure for LVS, having expressed interest in that? Can you sort of update us on your thoughts on that at this point?
Robert Goldstein: Patrick, are you in the call?
Patrick Dumont: Yes. Do you want me to take that one? Is that okay?
Robert Goldstein: Sure.
Patrick Dumont: Hey, it's Patrick. I think what we said before in prior calls is consistent, that we view capital deployment pretty consistently and so that we have a very high return threshold. When that original commentary was made by the Chairman, it was really regarding certain conditions that existed really before all the stimulus went into the market. And I think where we are today is we are very focused on maintaining our investments in our existing markets. We've deployed a lot of capital in the last 12 months into these markets. As Grant and Rob mentioned, you're starting to see the benefits in the return of premium mass in Macao today and these very high-value investments. And we're also looking to maintain liquidity to ensure that we have the ability to take advantage of opportunities in the future. So I think we're looking around. I think we're optimistic about the future of our key markets. If an M&A opportunity comes up, we'll look at it. But again, our return thresholds are very high. And as of right now, there's nothing that's really compelling. So we'll continue to deploy capital in our markets and hopefully get the continued high returns that we've been seeing previously in these markets, but no M&A as of right now.
Robin Farley: Thank you.
Robert Goldstein: Thanks Robin.
Operator: Your next question comes from Thomas Allen with Morgan Stanley. Your line is open.
Thomas Allen: Thank you. Just following up on that last question. We've been getting a lot of questions about when you may resume your dividend. And would you go back to the kind of $0.79 you were paying at the beginning of the year? Can you just update us on your thinking there? Thank you.
Robert Goldstein: Patrick?
Patrick Dumont: Hey, it's Patrick. I think return of capital has been a cornerstone for our shareholder value creation program. And I think we're very focused on getting back to being a dividend payer. You've heard our Chairman say "yay dividends" many times. I think he feels – still feels that way. I think the company is very motivated to grow its cash flow beyond where it was in 2019 and ultimately return to being a dividend payer. But I think the key thing right now is that we're in the early stages of recovery of COVID, and we are going to see how that trajectory goes before we make a determination about return of capital. We're very focused on growing the business back and exceeding the prior levels, and we'll evaluate where things are at that time as things progress and make an assessment about sort of dividend payouts at that time.
Thomas Allen: Helpful color. Thanks, Patrick. And then, just as my follow-up question, appreciate all the color you gave on Macao around Golden Week and how things have been progressing there? Can you give any more color around Vegas and Singapore? Obviously, sequentially, third quarter looks better than the second quarter, but was it similar in terms of a month-by-month progression? And have things continued to improve in October? And would you expect them to continue to improve? Or are there seasonal factors we should be thinking about, too? Thank you.
Robert Goldstein: Do you want Singapore and Las Vegas? So in Las Vegas, I think things have – I'm not sure it's a seasonal issue. We're in a different place right now. I think it's not about summer versus fall. I think it's pretty much staying stable. But I'm curious to see what happens in the winter if the leisure business holds up as strongly. But I think things are staying where they're at until there's some type of a catalyst. I mean, we did see leisure travel, I think, getting stronger on weekends, not as strong midweek. I still think the airlift thing is very, very difficult to overcome. We still are operating as a regional market. I don't see how – like, the group business, I think there will be increasing demand, but how it'll get here and can it get here with the governmental restrictions. So I don't see a lot of change in Las Vegas for us until there's a change structurally and the governor's position, the airline position and the willingness again of consumers. I think people coming here on weekends and sitting in a room is one thing. But when they come with a 30,000 group convention or they come and watch a 20,000-seat hockey game, I don't know how people think about those kinds of large gatherings. So I think Vegas stays where it's at. I think that there's going to be demand, but we've got to change some things structurally to get people in the buildings. So that's Vegas. We're very encouraged with what's happening in MBS. We made some money this quarter, as you see. I think that will continue to grow. The growth in MBS will be contingent upon a few variables. For example, just in our building, we'll grow from 1,500 current slot machines to 2,000 as of the first of the year. The win per unit there is extraordinary. And that's driven mostly not by – people think it's a locals market, not really. It's a locals market for residents, Singapore residents. It's a very different thing because what we do mention – say that it's foreigners who achieve status as a permanent resident. That's probably the big driver of our very strong slot ETG win, not as strong on the table side, where the market is not as favorable with local residents. We need some airlift there. The other encouraging thing happening in Singapore, as you know, is the recent development with the Hong Kong airlift situation in the governments. We're very fortunate the government in Singapore is so proactive and recognized we need to rejuvenate our industry and its economy. That deal with between Cathay and Sing Air, I think, is very favorable. It bodes well for other jurisdictions to open up. The big catalyst for Singapore growth, obviously, is foreign travel, foreign visitation. That's necessitated by airlift, and that's lacking. But again, Malaysia, Indonesia, Japan, etcetera, Vietnam, as those markets open up, Singapore could easily grow from, right now, $25 million, $35 million a month to maybe $50 million or $75 million a month and keep going. It really depends on getting the airlift community for foreign visitation. We are comfortable in making money in Singapore. It's growing. October, Golden Week is – the business keeps continuing to feel better. It feels stronger. But the change will only happen there in a step-change way when you have access by air travel, obviously. And we're hopeful that in this quarter, we'll see some more developments, and we'll see even further as – again, unlike the U.S., the COVID situation appears to be pretty stable in most countries in Asia. So it makes us hopeful that more people will open their borders up and allow air travel. And that will drive Singapore back to the levels we're comfortable with.
Patrick Dumont: And if I could just – hey it's Patrick, if I could just add one comment. I think it's an important thing to note that in Singapore, things really were opened in a phased way after the circuit breaker. And so we really didn't have our full hotel towers until August 1. And I think the other thing that's important to note is it did ramp across the quarter. So Singapore is slowly resuming operations in a more normal way, and we are starting to see the benefits of that as we resume the profitability. And so it was a ramp across the quarter in Singapore, and the trajectory is positive.
Thomas Allen: Very helpful color. Thank you.
Operator: Your next question comes from the line of Jared Shojaian with Wolfe Research. Your line is open.
Jared Shojaian: Hi, good afternoon, everyone. Thanks for taking my question. On Marina Bay Sands, can you tell us what percentage of your business historically has come from Mainland China? And then I guess, on the cross-border issues, I mean, is it possible that, for Macao, some of the cross-border issues, just the sentiment of that, could be a headwind in the near-term but potentially positive over the longer term if more demand ends up shifting to Macao?
Robert Goldstein: It's not quite sure. We're not going to break out percentages as it relates to the profitability coming out of China into Singapore. But I will say it's a very important market for us. So there's no arguing that it's fundamental to our growth and our success as is most countries in Asia depending on China visitation. So it's – but we'll keep it at a very macro level. As far as – it's a double-edged sword, as I referenced, because I think it's very, very helpful in Macao that – the Chinese consumer. One of the reasons our retail business from the high end is booming according to our people on the ground is that they can't fly to France or the U.S. or wherever they travel to and buy their luxury goods. So they're buying it at home. And then, you see the surging retail numbers and the growth in the economy coming out of China. China's back to a pretty good place. Growth, I think, is back, and the renminbi is strong. And China is doing very well compared to the rest of the world, including the COVID situation. So that bodes very, very well. Once we can get inside the bubble, of the China bubble on the containment, I think our business in Macao is going to be just fine and dandy quickly. It's not so positive for Macao – I mean, for Singapore because there may be a hesitation of the meeting country to air travel. And I'm speculating, but we don't have any incoming out of China right now as far as opening up the balance of not just Singapore but Asia, Japan, Thailand, etcetera. So it will be helpful because demand in both gaming, retail, leisure travel will probably be very strong in Macao as those IVS and COVID barriers come down. And hopefully, it will come down because the health situation in both Macao and Mainland China is very positive. So it's very helpful in Macao, no question, and probably not as helpful in Singapore.
Jared Shojaian: Okay. Thanks Rob. And I'm curious, Rob, just to get your perspective on this. And I think I know the answer to this but curious to hear your response. Given that Vegas is recovering, we're a little bit closer to a vaccine today, hopefully. And Macao has been, I think, a lot slower to recover than people expected. Is it still your expectation that Macao could and should get back to prior peak revenue before Vegas?
Robert Goldstein: I believe so. I think Macao – the countries are very – China is the market for Macao. China is in a very favorable position. I referenced earlier in the call the renminbi, the economy, the safety of COVID. They've done a great job and a sustainable recovery over there. And it feels that it's going to be transferred to Macao in the near future. I just don't know when. But I feel very good about the prospects in Macao in the future and hopefully in the near future. But we don't know. Again, it's not within our control. But I think the government took it slowly, and we got to hand it to the governments in China and Macao. They've been very – it's been frustrating, but they're taking it slow and you see them opening gradually. We see the recovery in premium mass with base mass to follow and probably junket after that. So Macao, I think, recovers quicker. Having said that, I, for the first time, feeling, Vegas has some bright spots, and we feel some – there's definitely leisure customer weekends, and it's packed here on the weekends, much more than had been previously. It's not so favorable midweek. But again, there's always a group area of strength. And we're seeing group calls. I mean, our team is getting response. People want to come back to Las Vegas. It just I think, takes longer. And as you referenced, I pray there's a vaccine for all of us. I do think that's the tipping point. The U.S. has to get healthy. We still have, what, 70,000 people affected one day last week. It's still staggering, the level of what's happening. So until people feel safe, they're not coming to Vegas. But when they do, they're going to come back, and we're very confident. But if I'm to make a bet, I'd bet on Macao, much quicker of a recovery than Las Vegas. Vegas has some challenges, where Macao just has to have that barrier come down and let people come in. That's all there is.
Jared Shojaian: All right. Thank you very much.
Robert Goldstein: Thank you. Appreciate it.
Operator: Your next question comes from the line of David Katz with Jefferies. Your line is open.
David Katz: Hi. Afternoon. Thanks for taking my question. Good to hear all of your voices and hope you are well. I just wanted to follow-up on the IVS circumstances. What we're seeing here is a negligible number of cases both in Macao and the relevant areas of China. What light can you shed on what the Chinese government and the Macao government might be looking for, for change to occur? Or is it just a function of taking the time administratively to convert back to the kiosks that we've known about in the past?
Robert Goldstein: Mr. Chum, are you still awake?
Grant Chum: Yes. Well, I think the way you have to look at it, and it refers back to what Rob said, what a great job I think the governments in China and the local government in Macao have done in terms of controlling the pandemic. But one result of that is, I think, each step of relaxation is handled very cautiously. So I think it's more the case that we need the passage of time where we can see that everything is working in order and there are no issues arising from people movements of large numbers. And I think your point about do they move from manual to kiosks, I mean, we already do have feedback from customers and consumers that, in different parts of China, you do have a much more abbreviated application process. So I think this will work its way out assuming that everything remains in order as it relates to the control of the pandemic.
Wilfred Wong: Rob, this is Wilfred. Can I jump in?
Robert Goldstein: Please do.
Wilfred Wong: Now I think the current situation is the government know what needs to be done, including persuading the Chinese government to work on the kiosks rather than manual processes, extending the 14 days of validity of the test certificate. But we must remember one thing, what you want to avoid is a shutdown again. So that's why both the central government and Macao government been working very carefully because they don't want a resurgence or an outbreak of COVID in Macao, which has held its fort for so long. And that's why they're moving slowly, but surely. But what we are seeing is both the central government and the Macao government knows exactly what needs to be done and they're moving in the right direction.
David Katz: Thank you for that. It seems like a fair plan. Sorry, go ahead, please.
Robert Goldstein: No, I couldn't agree more. I think we're lucky that they're thinking long-term. It's frustrating for all of us who want it to happen yesterday. We want so badly to see this market open back up. We want to get back on track. And it's frustrating. But I think the comments of guys in Macao, it's going to pay off long-term with long sustainable growth and back to a better environment. It's hard for us in here to accept it without getting antsy. But I think when those restrictions are lifted or revisited, I think it'd be great for all of us.
David Katz: I appreciate that. And if I can ask one detail follow-up. Within the context of the recovery in Macao, and I appreciate the color around October starting to approach or get to breakeven, how would you have us think about the Londoner and its ramp within the context of all that? Presumably, it's on a different track and a different trajectory given the capital.
Robert Goldstein: Grant, why don't you take that now and [indiscernible]. Please take it.
Grant Chum: Sorry, do you want to go first or?
Robert Goldstein: No, go ahead. You initiate, Grant.
Grant Chum: Yes. I think the first point is what Rob said earlier, that this is a product-driven market. And I don't know, it's hard for us to convey to you over the phone just how excited we are about the products that we are about to bring on. And of course, we have brought some of that on already through the Four Seasons, the new hotel at the Four Seasons. But obviously, the bigger piece will be the comprehensive product that we're going to put out there through the Londoner Macao. And I think when you think about the construction progress we've made there, obviously, we've taken full advantage of the pandemic cessation of some of this business in the SCC side, and we've accelerated much of our programming as a result of that. And I think when we see the segments that are recovering chiefly through premium mass, we really feel very good about the natural rollout progressively of a number of these new products. And that will start potentially toward the end of this year and will move on to the rest of the resort during the course of 2021. But we're very, very excited about what we're about to bring onto the market.
Robert Goldstein: I just want to add one comment. We had the SCC for years. It was not a great product. It didn't deliver. And here, we've redone this product with 6,000 rooms and suites; a casino, if you can see it, the images are spectacular, a redone retail environment with the epicenter of the Cotai Strip across from the powerhouse, which is The Venetian, twice the key count. I don't think we couldn't be more excited to see it get fully open and operational. David Beckham will cut the key, and Sheldon will be over there hopefully to do this with him, and I think it's going to be an extraordinary product. And we think of how our products perform in the Macao it won't be a very underwhelming product to the one competitive to, I think, The Venetian. And we just we just can't wait to get back in Macao and see the impact. The same with the Four Seasons, which is now open, this is quite a product. And I think our future is tied to – not to overextending giveaways and promotions, but building great product that the customers in Macao come to. So we couldn't be more – I'm just very excited about the prospects of our new developments in Macao.
David Katz: Look forward to seeing it. Thank you for taking my question.
Robert Goldstein: Sure. Thank you.
Operator: Your last question comes from the line of Shaun Kelley with Bank of America. Your line is open.
Shaun Kelley: Hi, good afternoon, and thanks for squeezing me in. Really just wanted to kind of do two quick follow-ups on topics of…
Operator: He got disconnected.
Daniel Briggs: We'll deal with Shaun. It seems he got dropped off. We'll deal with him directly. That's it.
Robert Goldstein: Thank you.
Daniel Briggs: Thanks so much for joining us.
Robert Goldstein: Mr. Chum, Dr. Wong, great thanks for joining the call. We really appreciate it. Great color.
Wilfred Wong: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.